Operator: Good morning, and welcome to the AngioDynamics Fiscal Year 2026 First Quarter Earnings Call. [Operator Instructions] As a reminder, this conference call is being recorded. The news release detailing AngioDynamics' fiscal 2026 first quarter results crossed the wire earlier this morning and is available on the company's website. This conference call is also being broadcast live over the internet at the Investors section of the company's website at www.angiodynamics.com. A webcast replay of the call will be available at the same site approximately 1 hour after the end of today's call. Before we begin, I'd like to caution listeners that during the course of this conference call, the company will make projections or forward-looking statements regarding future events, including statements about expected revenue, adjusted earnings and gross margins for fiscal year 2026, as well as trends that may continue. Management encourages you to review the company's past and future filings with the SEC, including, without limitation, the company's Forms 10-Q and 10-K, which identify specific factors that may cause actual results or events to differ materially from those described in the forward-looking statements. The company will also discuss certain non-GAAP and pro forma financial measures during this call. Management uses these measures to establish operational goals and review operational performance and believes that these measures may assist investors in analyzing the underlying trends in the company's business over time. Investors should consider these non-GAAP and pro forma measures in addition to, not as a substitute for or as superior to financial reporting with measures prepared in accordance with GAAP. A slide package offering insight into the company's financial results is also available in the Investors section of the company's website under Events and Presentations. This presentation should be read in conjunction with the press release discussing the company's operating results and financial performance during this morning's conference call. Unless otherwise noted, all metrics and growth rates mentioned during today's call are on a pro forma basis, which excludes the results of the dialysis and BioSentry business that were divested in June 2023, the PICC and midline products that were divested in February 2024 and the radio frequency and Syntrax support catheter products that we discontinued in February 2024. Also, unless otherwise noted, all comparisons will be the first fiscal quarter of 2026 versus the first fiscal quarter of 2025. Now I'd like to turn the call over to Jim Clemmer, AngioDynamics' President and Chief Executive Officer. Mr. Clemmer?
James Clemmer: Thank you, operator. Good morning, everyone, and thank you for joining us for AngioDynamics' Fiscal 2026 First Quarter Earnings Call. Joining me today is Steve Trowbridge, AngioDynamics' Executive Vice President and Chief Financial Officer. We had a great first quarter. We continue to grow across all areas of our business and performed especially well in the med tech markets that are critical to our future. Not only did we deliver excellent top line results, we demonstrated how that revenue translates into profitability. Our teams have struck the right balance between increasing profit and investing in our future, which includes developing and launching new products as well as regulatory expansion opportunities planned for the future. This combination of solid revenue growth with increasing profitability is the most important outcome of our strategic transformation. As many of you know, we have evolved our product portfolio from what AngioDynamics was historically known for to one that now competes in large, fast-growing markets. We are proven that our unique technologies can win and drive accelerated growth. In Q1, we grew our revenue by 12%, led by the continued strength of our Med Tech segment, which grew 26%, marking our fourth consecutive quarter with over 20% growth. We also achieved strong gross margins because of our revenue mix and our operations team driving solid performance even while managing the impact of tariffs that raised some costs during the quarter. Our Auryon business has delivered another exceptional quarter, which continues to grow well above market rates as we believe, we have the best technology to deliver better outcomes for patients with peripheral arterial disease. We are growing by taking share from all competitors in this space. And we are seeing our move into the hospital market continue to excel, allowing us to drive both top line growth and higher margins. We are bullish on Auryon as a long-term growth driver for our company, and we'll continue to invest to unlock new opportunities as demonstrated by our AMBITION BTK study and our plans for Auryon to compete in the coronary market in the future. We intend to continue proving why we believe our device is the most effective solution in the market. We want to expand access the new opportunities that broaden the TAM that we compete in. These studies will help achieve both goals. Auryon exemplifies how our company can take an innovative product, build a great team around it and execute with focus, which leads to strong growth and a great business. Our Mechanical Thrombectomy business grew by over 40% versus the previous year. Both AlphaVac and AngioVac saw strong customer growth, and we are pleased with the number of new users choosing our products. We are continuing to see new hospitals approve our products through their value analysis committees, and bring us into inventory as approved devices, which will drive increased utilization moving forward. The feedback we continue to hear from customers consistently highlights how a few of the unique design elements that we built into AlphaVac, provide substantial advantages and make it both safe and effective. The fact that a physician can use AlphaVac to treat PE without the need to reinsert a guidewire to safely navigate to the desired location is viewed as an innovative design feature that saves time and simplifies use even in complex interventional procedures. We will continue to add new features and expand the potential users for AlphaVac as the interventional treatment of PE patients will be a growth driver for our company for many years. Our NanoKnife team is delivering great results as we experienced growth of over 25%. Our expanded prostate indication allows us to educate and train urologists on our device and has an increased interest from doctors who are seeking an effective focal treatment option for their patients. We are working towards the January 1 date when our CPT I code becomes effective, which will help get our patients treated and our customers paid for the treatment. Physicians are excited to use NanoKnife because of its highly compelling the patient outcome benefits as well as the assigned payment aligning well with their expectations. The fact that our device can treat a patient in less than 1 hour makes it both a clinically and economically effective solution to offer their patients. As part of our effort to increase awareness with men, who may be seeking treatment options, we are launching a new AARP ad campaign this month to educate men and their families about how our device works and why the patient outcomes are terrific. We are excited to drive increased awareness and education for patients and physicians as we believe that NanoKnife can become the market-leading product to treat intermediate-risk prostate cancer, and we'll do everything possible to support that opportunity. Our Medical Device segment reported very strong results. We grew revenue over 2% year-over-year, led by strength in most of our categories. This business not only has excellent products that offer us attractive financial returns, but is also managed and run by a great team of people who know how to compete in more than one market at the same time. Overall, Q1 was a great start to our year. We're hitting on all cylinders. Our Med Tech business is accelerating. We're taking share with our superior technology, and we're driving sustained profitability. With our strong pipeline of clinical catalysts, expanding market opportunities and the operational leverage we're building, we're positioned to deliver significant value creation for our shareholders. Now let me turn the call over to Steve Trowbridge, who will provide more detail on our financial results.
Stephen Trowbridge: Thanks, Jim, and good morning, everybody. And as always, before I begin, I'd like to direct everyone to the presentation on our Investor Relations website summarizing the key items from our quarterly results. Unless otherwise noted, all metrics and growth rates mentioned during today's call are on a pro forma basis, which exclude the results of the dialysis and BioSentry businesses we divested in June 2023, the PICC and midline products that we divested in February 2024 and the radio frequency and Syntrax support catheter products that we discontinued also in February '24. Additionally, unless otherwise noted, all comparisons will be the first fiscal quarter of 2026 versus the first fiscal quarter of 2025. Top line revenue performance was strong in the quarter. Revenue increased 12.2% to $75.7 million, driven by growth across both our Med Tech and Med Device segments. Med Tech revenue was $35.3 million, a 26.1% increase, and our Med Device revenue was $40.4 million, an increase of 2.3% As we mentioned in our Q4 call in July, this quarter provided a slightly easier comparison for year-over-year growth than we will see during the rest of FY '26. Now that being said, we are really pleased with the revenue growth we achieved during our first quarter. For the first fiscal quarter, our Med Tech platforms comprised 47% of our total revenue compared to 41% of total revenue a year ago, is illustrating the sustained execution of our strategy to increase the percentage of our overall revenue base coming from our Med Tech segment. In addition, in the slides accompanying our earnings release this morning, we illustrate the sustained growth of our Med Tech segment over the past 5 years. During this time, the annual revenue of our Med Tech segment has grown from $41 million in 2020 to $127 million in 2025, representing a compound annual growth rate of 25%. Digging into our Med Tech segment, our Auryon platform contributed $16.5 million in revenue, growing 20.1% compared to last year. Auryon has now delivered double-digit year-over-year growth for 17 consecutive quarters. As Jim mentioned, this growth is supported by our strategy to increase the percentage of our atherectomy business in the hospital side of care. In addition to this mix shift, we continue to grow our customer base in both the hospital and OBL settings. We also benefited from continued adoption internationally following CE Mark approval in September of last year, which drove approximately $500,000 of revenue in the quarter. Mechanical thrombectomy revenue, which includes AngioVac and AlphaVac sales, increased 41.2% year-over-year with revenue of $11.3 million. In the quarter, AngioVac revenue was $8 million, a 37.1% year-over-year increase, and AlphaVac revenue was $3.3 million, a 52.3% year-over-year increase. Total NanoKnife revenue was $6.4 million, an increase of 26.7% with pro-growth of 31.3%. We view each of our Mechanical Thrombectomy and NanoKnife businesses as strategically important, both in the near and long term and are very happy with their recent performance. We expect both to continue to deliver strong year-over-year growth and contribute meaningfully to our margin profile and profitability moving forward. As I previously mentioned, in the first quarter, our Med Device segment grew 2.3% year-over-year. We've stated that we believe that our Med Device segment will grow in the low single digits throughout the coming years, and we're pleased with the sustained performance. Now moving down the income statement. Our gross margin for the first quarter of FY '26 was 55.3%, a 90-basis-point increase from the first quarter of FY '25. Primary drivers of the gross margin improvement are pricing initiatives in both our Med Tech and Med Device segments, the sales mix shift to our higher-margin Med Tech products and operating efficiencies. We previously discussed our strategy to rightsize our manufacturing footprint to address labor constraints at our Queensbury facility and utilize third-party manufacturing partners. Our operations team has done a fantastic job executing on our strategy and has accelerated some of the gross margin initiatives driving gross margin improvement in the first half of our fiscal year, ahead of the scheduled completion date of January 2026. In addition, gross margin in Q1 included $1.7 million of tariff expense or roughly 220-basis-point impact. Touching briefly on tariffs. The expense in Q1 was in line with our expectations. And as we discussed last quarter, we continue to expect to incur between $4 million and $6 million of tariff expenses for the full fiscal year 2026. Total operating expenses in the quarter were $52.5 million, down to just 69.4% of sales compared to $50 million or 74% of sales last year, as we continue to drive operating leverage in the business. Turning to R&D. Our research and development expense was $6.4 million or 8.5% of sales compared to $6.3 million or 9.3% of sales a year ago. As we previously stated, we remain committed to investing in R&D initiatives to support the long-term growth of our Med Tech segment, and we're targeting approximately 10% of sales going forward. SG&A expense for the first quarter of FY '26 was $40.7 million, representing 53.7% of sales compared to $36.6 million or 54.2% of sales a year ago. This increase in spend is largely driven by the investments we have highlighted in an expanded Mechanical Thrombectomy sales force to support the growth of our Med Tech segment. Our adjusted net loss for the first quarter of FY '26 was $4.2 million or an adjusted loss per share of $0.10 compared to an adjusted net loss of $4.4 million or an adjusted loss per share of $0.11 in the first quarter of last year. This year-over-year improvement is largely attributable to our Med Tech revenue growth and the success of our expense management initiatives. Adjusted EBITDA in the first quarter of FY '26 was $2.2 million compared to an adjusted EBITDA loss of $152,000 in the first quarter of 2025. At August 31, 2025, we had $38.8 million in cash compared to $55.9 million in cash at May 31, 2025. As we mentioned in July, cash utilization is always highest in our first fiscal quarter. This year, cash utilization was a bit better than we expected. We continue to expect to be cash flow positive for the current full fiscal year, and in line with historical quarterly patterns, we expect to use approximately $3 million of cash in Q2. For Q3, we expect to use zero cash or generate some, and we expect significant cash generation in Q4. We maintained zero debt and have the flexibility to tap into our revolving credit facility, if needed. Turning now to guidance for fiscal '26. Based on our first quarter performance and our expectations for the balance of the year, we now expect net sales to be in the range of $308 million to $313 million, raised from our previously issued range of $305 million to $310 million. This increased range now represents growth of between 5% and 7% over fiscal '25 revenue of $292.7 million. On a segment basis, we now expect Med Tech net sales to grow 14% to 16%, an increase from prior guidance of 12% to 15%, and we continue to expect Med Device sales to be roughly flat. For fiscal 2026, we continue to expect gross margin to be in the range of 53.5% to 55.5%. This is inclusive of our reiterated estimate of $4 million to $6 million of tariff impact for the full fiscal year. Let me give a little more color on gross margin. We don't expect to see a significant step-up in margin during the balance of the year. As discussed above, we've accelerated some of our gross margin improvement initiatives during the first half, and we're seeing that here in our first quarter results. We now expect adjusted EBITDA to be in the range of $6 million to $10 million, up from prior guidance of $3 million to $8 million, again, inclusive of our estimated tariff impact. And finally, we now expect adjusted loss per share in the range of $0.33 to $0.23, improving from our prior guidance of a loss of $0.35 to $0.25. As you've just heard, we had a fantastic quarter, driven by the continued execution of our strategic transformation. We have a compelling portfolio of world-class products competing in attractive markets. We have a great global team, commercial, R&D, clinical, regulatory market access, all working together to bring innovative solutions to our customers, and we have the infrastructure in place to manufacture and deliver those technologies to our customers efficiently. Finally, we have a strong balance sheet, which will allow us to continue to invest in growth. We're excited about the momentum we've built and the opportunities ahead of us. We remain focused on executing across our businesses to drive sustained profitable growth and value creation during the balance of fiscal '26 and beyond. With that, I'll open the line for questions.
Operator: [Operator Instructions] Our first question today comes from the line of John Young with Canaccord Genuity.
John Young: Jim, Steve, it's John. Congratulations on the nice progress we're seeing here. I first wanted to start on just guidance, if I can. If I'm reading between the lines, right, from your comments, Steve, it sounds like the raise in Med Tech and the go-forward would mostly be predicated on the Mechanical Thrombectomy and NanoKnife segments. Am I right on that? And just any color on how we should think of the growth cadence between those two, especially with reimbursement for prostate coming online in fiscal Q3?
Stephen Trowbridge: Thanks for the question. Yes, you're correct. If you think about the raising guidance going forward, it is primarily being driven by what we're seeing in the Mechanical Thrombectomy and NanoKnife spaces. As we mentioned, we're very pleased with Auryon and the performance that we've seen in Auryon and the 17 consecutive quarters of growth in that business, had a really good first quarter. We expect that to continue to be a solid contributor to our growth going forward. But we're really pleased with what we're seeing in Mechanical Thrombectomy and the sustained growth that we've seen in both AngioVac and AlphaVac over the last handful of quarters. We expect that to continue. It's one of the things that we pointed to at the end of Q4. We really like the portfolio that we have here in Mechanical Thrombectomy and the performance that we're getting out of that team, both here in the U.S. as well as globally and seeing some international contribution to growth. On NanoKnife, as we've said, we expect NanoKnife to be a grower for us and in the short, medium and long term. That's going to be one of the primary drivers of our growth. We're excited about what we saw here in the first quarter. We do have that code coming into effect on January 1. But as we said, we don't expect that to be a light switch that's going to immediately drive the hockey stick. But we're really pleased with the continued increase in interest coming from the urology community, the adoption for this technology to treat the intermediate risk prostate cancer patient. We think it's the absolute right solution. We're going to continue to see growth there.
John Young: I appreciate that. And then just as a double click on the NanoKnife disposable revenue this quarter was just really strong. Any color on how much of prostate was in that disposable number? Is there any stocking? And just any KPIs that you could share would be great around that.
Stephen Trowbridge: Sure. And the disposable numbers that we're seeing in NanoKnife as well as the capital that we're seeing in NanoKnife, that is being driven by our prostate initiative. By and large, the growth that we're seeing there is all coming from prostate and the increased awareness that we're talking about with the urology community. With your question on stocking, it's a product that we always expect that customers are going to be buying probes to have them on the shelf to be able to treat their patients. So I don't think I would point to anything as a significant onetime or unnatural progression that we're seeing here in our quarter. We expect customers to continue to adopt NanoKnife as a technology for their treatment options. They're going to continue to be buying probes, and we expect to see that growth continue.
Operator: The next question comes from the line of Frank Takkinen with Lake Street Capital.
Frank Takkinen: Great. Congrats on the quarter. I was hoping I could start in Mechanical Thrombectomy. Maybe an update around kind of hospital penetration would be helpful. And then how we should think about that trending going forward?
James Clemmer: Frank, it's Jim. So we've seen really good uptake in interest at the hospital and that translates into our sales team then converting accounts into the value analysis committee approvals that we seek. It's always good to have a doctor buy one and try one, gain the confidence in the device itself. Then to go and put it through the Vac process, which is our ultimate goal to get on the shelf there. And there's a couple of other good products in that space, as you know. So we're really pleased with the adoption of the space. It's really important to us. We measure it every month. We watch the adoption. We watch our procedures grow every month. So it gives us more confidence in the device. And then just hearing physician feedback. I spent a couple of days last week at the Perth conference talking to a lot of the users who have tried our device recently, who know the other products on the market and are really confident in our device and some of those design element features we built in. So Frank, we're going to watch this, measure it well, invest in this space. As you know, we've added new sales reps into this fiscal year based upon our confidence. And we'll keep measuring it for you. But we have a lot of KPIs we track internally.
Stephen Trowbridge: Yes. And Frank, just to add to what Jim said, I mean we are bringing on new customers in both the AngioVac and AlphaVac side of the house every quarter. We're really pleased with the trajectory that we're seeing there. We're still in the very early stages here. I wouldn't say that we're significantly penetrated. We've got a lot of opportunities to continue to grow both AngioVac and AlphaVac in the quarters ahead.
Frank Takkinen: Perfect. That's helpful. And then maybe as it relates to some of the sales force hiring you did in Mechanical Thrombectomy, can you update us on where that sales force stands? And then, more broadly speaking, how should we think about other commercial investments across the Med Tech business?
James Clemmer: Yes. Good question, Frank. I know at the last call, we talked about we ended our kind of fiscal 2025 with about 40 dedicated sales reps selling Mechanical Thrombectomy. And we mentioned we're going to invest about a 25% increase this year. So we have now 50 people, 50 territories identified who are just solely focused on AlphaVac and AngioVac. And based upon the feedback we received, we think that's the right cadence. So you'll see us continue to grow. If an investor looks back on the success we've had with Auryon, for example, we launched Auryon 5 years ago. And at the time, there were no sales reps so when we bought the product, launched it. Now we have about 40 reps dedicated to Auryon, and we added and expanded over time selling forward with the opportunity that we saw. So we'll do a similar model with our AngioVac and AlphaVac team, who's done a really good job getting customer awareness to the level we like. So you'll see that happen over time, not just investments in Auryon and the AlphaVac team, but next year, when we get the CPT I code up and running, you'll see investment probably over the next 3 years coming into that NanoKnife urology sales force to help service what we think will be a lot of increased demand.
Operator: The next question is from the line of Yi Chen with H.C. Wainwright.
Eduardo Martinez-Montes: This is Eduardo on for Yi. Just to follow up a little bit on the mix of growth and penetration versus utilization. For -- I guess to start with the thrombectomy. Is there any sense of revenue growth attributable to the price increase? I know that you guys have been playing around with that given the increase in price versus volume. Just to get a feel for how much is being driven by each of those factors.
Stephen Trowbridge: Yes, it's a great question. We are seeing the ability to take some price in Mechanical Thrombectomy and we're doing that. But we're also bringing on new customers and we're seeing growth in terms of unit sales as well as utilization at our customer base. So it's a combination of all three. And I think that is a testament to the products that we have the portfolio and how well they're really being adopted by customers when they get their hands on them.
Eduardo Martinez-Montes: Great. And I guess just any update on the ongoing clinical trials, BTK and how you're seeing time line for progression on these trials? And what ultimately findings you anticipate could unlock for the markets?
Stephen Trowbridge: Yes. As we've said, we think this is a very important clinical trial both to our product line, but also to the market in general for atherectomy. And we think that Auryon has a unique place and a unique role to play in that. There's been some publications of some IITs of physicians who have used Auryon to treat below-the-knee calcifications and lesions with great outcomes. So we're very confident with what we're going to see. The structure of the AMBITION BTK study, we think, is important to have both the RCT segment as well as the Registry to prove that you can use Auryon, particularly and atherectomy below the knee and get good outcomes for your patients. We're very pleased with the pace that we're seeing, where we're seeing enrollment in both the -- both sides of that trial in the RCT and the Registry. They're pretty comprehensive. So it's going to be -- it's not going to be over immediately. But we're really pleased with the pace that we're seeing, the uptick, the interest in getting into this study with the clinical and scientific rigor that it has. And we think it will be a very big part of our Auryon business going forward.
Operator: At this time, I'll hand the floor back to Mr. Jim Clemmer for closing remarks.
James Clemmer: Thank you, Rob. Thank you guys for joining us today on the call. What you'll see from us is what you've seen this quarter. In the future, we believe that we have a company set up to win in the markets that we know are strong. They're difficult to compete in, but we've got significant technology advantages, and we're playing in the right spaces. Our team is supported by really good people who've helped us achieve these great results. Our teams here, across the board, have come above and beyond. We're a company with more than one moving part, and we ask people to do a lot and they deliver. We're also really encouraged by new people joining our company, who are also thrilled to join us based upon the direction we've changed this company towards, and they want to be a part of our journey. So folks, we're really excited with the results we just delivered, and we're really bullish on our future. We think we've changed this company. We've set it up well to win. We've got the right people to deliver. So thank you again for joining us. We'll talk to you soon.
Operator: This will conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.